David Williams: Thank you, and good day, everyone. My name is David Williams, and I’m Vice President, General Counsel and Chief Compliance Officer at Innospec. Thanks for joining our Third Quarter 2016 Financial Results Conference call. Today’s call is being recorded. As you know, late yesterday, we reported our financial results for the quarter ended September 30, 2016. The press release is posted on the Company’s website, www.innospecinc.com. An audio webcast of the call and the slide presentation on the results are also now available and will be archived on the website. Before we start, I would like to remind everybody that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management’s beliefs, expectations, targets, or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec’s most recent 10-K report, as well as other filings we have with the SEC. We refer you to the SEC’s website or our site for these and other documents. In our discussions today, we have also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentation that follows, a copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I will turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome everyone to the Innospec third quarter 2016 conference call. Our strategic businesses have all delivered to our expectations in the quarter, showing that our strategy remains robust. While the headline results do not contain or do contain a number of one-off items, which have impacted our EPS, we continue to move in the right direction and we are well set up for the fourth quarter and for 2017. Our balanced portfolio continued its excellent cash generation moving us to a position where we have a net cash of $19.6 million at the end of quarter, further improving the strength of our balance sheet. Our GAAP EPS was $0.47 and our adjusted EPS was $0.78, which is 34% below the comparable quarter last year. However Q3 2015 was a very strong quarter for both our Octane Additives business and for Oilfield Services. The current quarter also included a number of additional one-off costs, which are not included in our adjusted EPS. These included order patterns and Octane Additives, Oilfield Services in the aviation product lines of fuel specialty. There were also substantial charges for stock-based compensation as our shares moved up over 32% in the quarter. The net impact on EPS of two of the elements mentioned above, the share-based compensation charge and Octane Additives order phasing was broadly $0.22. Considering the strength of our businesses and our balance sheet, we are pleased that the Board has signed a further increase in our semi-annual dividend to $0.34 per share, which for the full-year, represents a 10% increase over 2015. Fuel Specialties continued to be impacted by the changes in crude slates, particularly in the U.S. refineries. The richer sales mix helped us deliver a very strong performance with gross margins up nearly 6 percentage points and operating income up 12% on the same period last year. Yet again, our Performance Chemical business has delivered another very strong quarter. The combination of demand for existing products and the delivery of new products from R&D drove volume growth of 14%. While we don’t expect this level of growth in every quarter, this demonstrates very clearly that the strategic focus of this business is right on track. Our focus on new products and technology is meeting our customers’ needs. On the last call, we had just announced the agreement to acquire the European Surfactants business from Huntsman. The project continues on track, and is now expected to close on December 30. We published an 8-K last week announcing that the key phases of employee consultation have been successfully concluded and that the sale and asset purchase agreement has been signed by both parties. We are excited about the prospects of bringing this business together with our current personal and home-care business, which will take us to over $350 million in sales for Performance Chemicals. As we have previously indicated, Oilfield Services continues to show sequential improvement as underlying customer activity picks up. Of course, the numbers are well short of the very strong comparable quarter in 2015, but as we expected, the business moved to breakeven in the quarter. We believe we have walked the tightrope of managing cost control in tough market times while retaining the resources and talent necessary to capitalize on the upturn. In Octane Additives, we did not deliver all the sales as expected. This was because of an administrative issue at the customer, which has now been resolved and the order was fulfilled in October. Our customer has indicated they will potentially require further supplies through early 2018, but we have no confirmed orders at this stage. Overall our underlying businesses are in good shape. Now I’ll turn the call over to Ian Cleminson, who’ll review our results in more detail. Then I will return with some further comments in the quarter and our outlook. After that, we will take your questions. Ian?
Ian Cleminson: Thanks, Patrick. Turning to Slide 6 in the presentation, the Company’s total revenues for the third quarter were $205.5 million, a 19% decrease from $254.2 million a year ago. The overall gross margin increased by 2.9 percentage points from last year to 38.5%, driven by a good underlying performance in all our businesses under favorable product mix. Adjusted EBITDA for the quarter was $21.2 million, a 50% decrease from last year. And net income for the quarter is $11.4 million. However as Patrick said, there were a number of one-off charges in the quarter, which negatively impacted these results. Our GAAP reported earnings per share of $0.47 included several special items, the net effect of which decreased our third quarter earnings by $0.31 per share. A year-ago, we reported GAAP earnings per share of $1.45, which included a positive impact in special items of $0.27. Excluding special items in both years, our adjusted EPS was $0.78 compared to $1.18 reported in the third quarter of 2015. The additional impact of Octane Additives sales phased into quarter four and increased stock-based compensation are not included in these adjustments but would account for a further $0.22 of EPS. As part of the independent acquisition, we are required under GAAP to fair value the contingent consideration that we expect to pay in 2016 on a quarterly basis. Any adjustment to the fair value is charged in the income statement is non-cash and adjusted out for EPS purposes. In this quarter, as a result of our expected lower payout in 2016, the adjustment resulted in a $2.3 million credit to the income statement, and a $0.06 adjustment to EPS. Moving onto Slide 7. Revenues in Fuel Specialties for the third quarter were $114.4 million, 6% lower than the $121.3 million reported a year-ago, driven entirely by an adverse price mix impact. Sales were weaker in aviation, but this is a result of order phasing rather than underlying demand. Sales performance was excellent in Asia-Pacific and broadly flat in EMEA. In the Americas, the business continues to be impacted by changes in the refinery crude slates. Overall we saw a very positive impact on product mix and margins. Gross margins were up by 5.7 percentage points to 38.3%. This generated an excellent operating income for the quarter, which was $24.1 million, a 12% improvement on $21.6 million in last year’s third quarter. Turning to Slide 8. Revenues in Performance Chemicals for the third quarter were up 9% against 2015 to $36.8 million. Volume growth of 14% was slightly offset by a 1% lower pricing and an adverse currency impact of 4%. Revenues in the Americas grew by 6% from a year-ago, driven by excellent growth in Personal Care products, which also contributed to an increase in the gross margins. In the rest of the world, sales grew by an impressive 17% after the impact of our new product development [ph] pipeline was rolled out. Gross margins expanded 4 percentage points to 33.4% benefiting from a slightly richer sales mix with a greater contribution from our Personal Care business. Operating income of $4.2 million for the quarter included a commercial legal settlement of $1 million with a distributor. Excluding this, operating income was up 44% on the $3.6 million generated in the same quarter last year. Turning to Slide 9. In the Oilfield Services, sales of $49.7 million were down 37% from the very strong third quarter of 2015, driven by a reduction in customer activity, especially in well completion. Overall volumes were down by 30% and there was an adverse price mix of 7%. However it’s important to note that this is a sequential improvement of 7% over Q2 2016, and we see a modest recovery in customer activity. Gross margins remained solid and above 40% and our cost containment measures meant that our operating expenses were down 17% compared to prior-year. The business broke-even in the quarter compared to a loss of $1.6 million in the second quarter and a loss of $5.5 million in the first quarter, reflecting the progress we are making. Moving onto Slide 10. Net sales in Octane Additives were $4.6 million compared to $20.3 million in the very strong quarter a year-ago. Gross margin was 54.3% and the segment reported an operating income of $1.9 million during the quarter compared to $8 million last year. The full order to Algeria was not delivered in the quarter as we indicated in the last call, with the final $3 million completed in October. At this stage, although our customer has indicated ongoing requirements, we have no further confirmed orders and we’ll update you on our next call. Turning to Slide 11. Corporate costs for the quarter were $15.3 million compared with $9.3 million a year-ago. In the quarter, there were $1.7 million of acquisition-related costs, largely associated with the acquisition of the Surfactants business from Huntsman. There was also a significant impact from stock-based compensation, driven by the share price movements in the quarter. Underlying corporate costs were broadly within our normal expected range of $10 million to $11 million per quarter. The effective tax rate for the quarter was 13.6% and the expected tax rate for the full year remains at 20%. Moving onto Slide 12. We closed the quarter with net cash of $19.6 million compared to net debt of $4.7 million at the end of the last quarter, as we continue to demonstrate our strong conversion of operating income to cash. Operations generated $29.8 million of cash in the quarter, which compares favorably with the $35.5 million generated in the very strong comparative quarter last year. As of September 30, 2016, Innospec had $167.1 million in cash, cash equivalents and total debt of $147.5 million. And now, I’ll turn it back over to Patrick for some final comments.
Patrick Williams: Thanks, Ian. Despite the one-off charges in the quarter, which have impacted our EPS, the underlying business performance was on track and we believe that all our core businesses are very well positioned for the fourth quarter and for 2017. Overall Fuel Specialties continue to turn in good results with increased margins driving much improved operating income despite some market headwinds. Yet again, Performance Chemical used both existing products and new innovative technology to deliver impressive volume growth combined with margin improvement. As we predicted, Oilfield Services moved to breakeven for the quarter, and although the market recovers fragile, there are signs that customer activity is growing, which will help us deliver positive operating income in Q4. Our cash generation was excellent in the quarter, which has further strengthened our balance sheet. With net cash on the balance sheet, we also well placed to complete the acquisition from Huntsman and to further expand in 2017. We have continued to return value to shareholders by increasing our dividend and our share price has increased significantly during the quarter. Our focus moving forward will continue to be development, manufacturing and marketing of innovative technology designed to meet well-defined customer needs. Since 2009, we have transformed the strategic portfolio and balance sheet strength of Innospec, we will continue to drive shareholder value through organic growth, dividends, buybacks and strategic acquisitions. This is why we are positive about our prospects for Q4, for 2017 and beyond. Now I will turn the call over to the operator, and Ian and I will take your questions.
Operator: [Operator Instructions]. We will now take the first question from Ivan Marcuse from KeyBanc Capital Markets. Please go ahead.
Ivan Marcuse: Hi. Thanks for taking my questions. The first one is, now that you’ve been able to sort of, I guess, take a closer look at the Huntsman acquisition, is there anything that gives you more confidence that you will be able to achieve your stated goals, or is there potential upside, or anything more to say about it now that you’ve been able to look at it for last couple of months?
Patrick Williams: Yes, we could only do so much when you’re going through the approval process, the awards counsel [ph] et cetera, but the more we’ve looked into the business the more we feel very confident that it was the right fit. I think the product portfolio definitely fits our portfolio and the blended the two together will give us substantial business moving forward. Now I think the ironic thing for these businesses is that we’ve always talked about not only increasing gross margins but increasing operating margins, and we always have a target for operating margins to get into the teens for all of our businesses. And I still think with the Huntsman acquisitions, albeit a lower margin business than what we currently have in Performance Chemicals, we can get those margins up over time. I think we’re very happy what we’re seeing. I think over time it’s going to be a great business for us.
Ivan Marcuse: Do you expect your CapEx to jump up, and if so, by how much as a result?
Patrick Williams: Yes, it’s going to go up, I would say, Ian, probably $15 million?
Ian Cleminson: Yes. I think for the full year next year, Ivan, we’d be looking at roundabout $30 million for the full business, including the Huntsman acquisition.
Ivan Marcuse: Okay. So it would be an incremental $15 million, I guess as a result of the acquisition?
Patrick Williams: Yes. I think, Ivan, just to add to that, if you look at the businesses, if you look at Fuel Specialties, you can be asset-light as long as you control technology. If you look at Performance Chemicals, you really have to have some defined assets. And so there is a little differentiation between the three business units and how much assets you have to have. I think that that tells it’s a pretty telltale when you look at the Huntsman business.
Ivan Marcuse: I guess another way of asking about it is, have you had any discussions with your international customers in regards to these assets that you’ll now be able to supply them in Europe and are those conversations going, I guess, as expected in a positive nature?
Patrick Williams: Yes, that’s why we’re very positive on the acquisition.
Ivan Marcuse: Got it. If you look at your Oilfield business - and who knows where oil stays but let’s just assume it stays in this $50 range, plus or minus $5 for the foreseeable future, what’s the earnings power at an annual basis for this company? What would you expect them to make if we sort of stay in this range through 2017?
Ian Cleminson: Yes, Ivan, I’ll take that one. I think the first thing I’d say is that we’ve made great progress through 2016 moving from a loss-making business and improving that to a breakeven, and we fully expect Q4 to be positive at the operating income level. As we head into 2017, we expect that business to continue to improve. I think where we are in the state of close of oil prices is right now, we’d be looking to have an operating income of roundabout 10% return, and an EBITDA return of higher than that and over a period depending where oil prices go, we fully expect the Oilfield business to get back up to those high-teens on a margin return.
Ivan Marcuse: Got you. And the last question, I’ll jump back in the queue. Last year in the fourth quarter in fuels, if I remember correctly, you had a pretty big negative impact from this warmer weather impacting some specific products you have in that business. Would you - if we get to a normal weather - assuming normal weather, would you expect those sales to return to 2014 levels, or would they be higher as a result of some market share gains that you’ve gained since then?
Patrick Williams: I would probably - for the purpose of this conversation probably say 2014 levels. It should be better than where we were last winter. Obviously it’s warm all across the U.S. right now and in Europe as well, but we expect to see the winter come. We expect to see the winter orders come along. I think we’re well diversified. We have increased our customer base. So now it’s just a function of cold weather hitting the U.S. But the nice thing about this, Ivan, many, many years ago we weren’t as diversified as we are now. We relied on a cold winter to boost our numbers. Now that business is so well diversified, the negative effect is not there. Now it’s only a positive effect if we get a cold weather, a cold winter, and that’s what we’re expecting.
Ivan Marcuse: Got it. Thank you for taking my questions.
Patrick Williams: Thank you. No problem.
Operator: Thank you. We will now take the next question from Jon Tanwanteng from CJS Securities. Please go ahead.
Jon Tanwanteng: Good morning guys. Thank you for taking my questions. Has Oilfield improved sequentially heading into Q4, or is it more of a steady state? And maybe what’s the latest sentiment in the oil patch in terms of - not just the price but in terms of wells and completions and drilling and all that?
Patrick Williams: Yes, it’s improved about 7% over Q2 to Q3. We expect to see it improve from Q3 to Q4. And when you look at the business and you benchmark the business, the more volume you can get right now - we have a benchmark number. And as you add more volume to that number, it immediately drops to the bottom line into operating income. And one of the things that we stress to the Oilfield business is that EBITDA is one number. Operating income to EPS is really the number we need to focus on. Now it’s really a function. I think, Jon, if you look at where we sit today, we are very well positioned for Q4. I think we have a pretty good idea of what the Q4 order patterns are looking like, even with crude bouncing around where it is today and we feel like we’ll be very positive operating income moving forward into Q4.
Jon Tanwanteng: Okay, great. And then just switching over to the Octane segment. How should we think about the timing with the size of shipments in 2017? I know you’re caught up a little bit in Q4 but what’s the progress on the ground in terms of phasing out the facility? Is that still happening or no plans yet?
Patrick Williams: Yes, I would probably say it’s highly unlikely we’ll get an Octane order in Q4. But we’re pretty positive we’re going to get orders into 2017, probably similar type volumes as 2016 for Octane Additives. And I think the situation has not changed. As a matter of fact, we’re probably looking into 2018 right now.
Jon Tanwanteng: Okay, great. And can you just talk about the cumulative impact of all the timing and phasing issues you saw in both in Fuel Specialties and Octane, and does all that normalize in Q4?
Ian Cleminson: Yes, I think it’s probably fair to say that over the next three months following quarter three, that we would expect everything else to sort of even itself out. So yes, the aviation piece in fuels under Oilfield should all come back and normalize in Q4.
Jon Tanwanteng: Okay. Any sense of magnitude?
Ian Cleminson: We’re not going to get in that level of detail, Jon.
Jon Tanwanteng: Okay.
Ian Cleminson: What’s the [indiscernible].
Patrick Williams: It’s definitely very positive for us.
Jon Tanwanteng: Okay, that’s fine. And finally, what’s the expected cash and debt levels after Huntsman closes?
Ian Cleminson: We are looking now at a closing net debt of around 1.6x to 1.7x net debt to EBITDA when we close.
Jon Tanwanteng: And that’s based on an EBITDA of…
Ian Cleminson: That’s the trailing 12 months EBITDA including the Huntsman business.
Jon Tanwanteng: Okay, got it. Thank you.
Ian Cleminson: Welcome.
Operator: Thank you. We will now take the next question from Sean Milligan from Coker Palmer. Please go ahead.
Sean Milligan: Hi guys. Good morning.
Ian Cleminson: Hi Sean.
Sean Milligan: On the Fuel side, so revenues will step-up in 4Q it sounds like, you sit in line with ‘14. What about the operating margin line for the fourth quarter? And obviously it was strong in the third quarter, what are you thinking there for Fuel Specialties?
Ian Cleminson: Yes. I don’t see the gross margins moving down. I think you’ll see a revenue climb. Margins may drop a point or two, but we always stay into that 30% to 32% range, and that we’ve bumped that up due to the fact that raw materials are still very steady. So I don’t see a big margin decline. I actually see it staying about like it is in Q3 with some revenue improvement going into Q4.
Sean Milligan: Okay, perfect. Thank you. And then in Octane, so just to be clear you’ve said $3 million in [indiscernible] for the Octane business in the fourth quarter. Just want to make sure I’m thinking about that correctly?
Patrick Williams: Yes, that’s right. And you’ll probably see [indiscernible] for first quarter of 2017.
Sean Milligan: Okay. And then on the Oilfield side, obviously revenues were up sort of 7%. You got the breakeven. I thought when we were exiting 2Q, you said you were above breakeven. So I was just trying to think progression from an operating basis into 4Q, rig count is up 15%. Guys have said that sort of that 2Q, 3Q rig count gains were lagging a little bit and maybe you see some step-up in completions in 4Q. Just trying to wonder how much above breakeven do you think you can get? Is the rate of change 2Q to 3Q going to look similar to 3Q to 4Q on an operating basis?
Patrick Williams: Yes, just discussed a little earlier in the script. If you look at the Oilfield Specialties, we had an order, a very large order, that was supposed to go out in Q3 that slipped into Q4 and that would have made it - instead of operating income flat, it would have made it operating income positive as we anticipated as we spoke about in Q2. So that gives us a pretty good idea of how Q4 is going to look moving forward. So I would say - I will say this as I said in Q2. We knew we were moving to a positive trend. If we had the order that was supposed to be in Q3 that moved into Q4 in Oilfield, it would have been a fairly nice operating income change from Q2. So I think you’ll see fairly nice Q4 for Oilfield Specialties.
Sean Milligan: Okay. And then lastly, just kind of big picture. When I sit back and look at this quarter, you are operating breakeven in Oilfield. Octane stepped down a lot, and you don’t have Huntsman in the acquisition - or the acquisition in numbers yet. So core Fuel Specialties and - or this quarter highlights core Fuel Specialties and core Performance Chemicals earnings power, and then on top of that layer in your Oilfield Service earnings sensitivities, Huntsman, any kind of optionality around Octane. I just want to make sure I am thinking about that correctly. And then on top of that, just that you still kind of see top line growth of high-single digits for the Performance Chemicals next year on the legacy stuff you are stuffing at now.
Patrick Williams: Yes, we’ll break it up into two. I’ll let Ian take the first part, and I’ll address the second part of your question.
Sean Milligan: Okay.
Ian Cleminson: Yes, I think if you sort of analyzed, they are pretty well there, Sean. I mean you think about it our Fuel Specialties business is growing operating income by 12% year-over-year. Our Performance Chemicals business is growing its operating income by 44% on adjusted basis year-over-year. And as we move the Oilfield business back into positive territory in terms of operating income and we get a further order in Octane Additives and then we add in the Huntsman business, there is no reason why we don’t see 2017, and even Q4 shaping up pretty nicely for this business.
Patrick Williams: I think to add to that, if you look at Octane Additives first, and if you look at the outlook that we see and from the information that we receive, which is limited at best, but our view is, as we alluded to earlier, we’ll probably see a similar volume of Octane Additives in ‘17 like we saw in ‘16. I think you’ll see Fuel Specialties business that’s going to grow over ‘16 . I think you’re going to see a Performance Chemicals business that you have to put in the Huntsman, which will obviously bring the margins down a little bit but $350 million revenue business with growth, a lot of growth opportunity and margin expansion. It will be tough in 2017 to get margin expansion out of that business until we get a full year’s handle on it, but a very strong outlook for Personal Care. We’ve done a great job in that business. I think with Fuels, we managed the downside extremely well. We kept the talent that we were expecting to keep. We cleaned the business up and now it’s really positioned for growth, and I think it shows that a company like us can still make money with a diverse portfolio in downtimes in Oilfield, where companies are not making money and be prepared for the upturn. And I think that that’s the key to having a balanced portfolio and a technology portfolio that crosses over. So for us I think we’re very well-positioned in Oilfield, even if oil prices stagger around $40 or $50 a barrel, we could still at least stay breakeven if not make money. You start ticking over $50 a barrel and it’s sustainable for a period of time with the customers that we have and the CapEx they have in place and the fuels that they’re in, we see a very nice operating income moving forward. And that’s why we feel fairly bullish in Q4 and 2017.
Sean Milligan: Perfect. Thank you, guys. That’s all I had this morning.
Patrick Williams: Thanks Sean.
Ian Cleminson: Thanks Sean.
Operator: Thank you. We will now take the next question Chris Shaw from Monness Crespi. Please go ahead.
Chris Shaw: Hi good morning guys. How are you doing?
Patrick Williams: Good, Chris. How are you?
Ian Cleminson: Good, Chris. How are you?
Chris Shaw: I have a couple of questions around Fuel Specialties. First clarification. Can you remind me, what’s the product that’s being impacted by the change in the crude slate?
Patrick Williams: It’s cetane.
Chris Shaw: That’s cetane.
Patrick Williams: So what happens is you have a lot of sweeter crudes coming out of Bakken.
Chris Shaw: Right.
Patrick Williams: That’s going into the Gulf and other areas, and so the - when you process it, it has a higher cetane number, so you don’t need as much cetane.
Chris Shaw: Okay. And then since…
Patrick Williams: Now understand, it’s a positive-negative effect. The positive is it’s a big revenue driver. Negative, it’s a low margin product.
Chris Shaw: All right.
Patrick Williams: So you’re seeing gross margins up significantly partly due to that effect.
Chris Shaw: And then Fuel Specialties remains your largest business obviously, and so just like looking forward to 2017 maybe or just - and sort of more general terms like what’s - how do you envision growth for ‘17 Fuel Specialties, like what’s the opportunities there? Is it just going to be along sort of the growth in fuel slates, or is there anything else going on there that we should be looking at?
Patrick Williams: No. I would still say it’s GDP plus 2% in that area - 2% to 3% depending on where you are. It’s been that way for the last 40 years. I think you do have the ins and outs. When we went to ULSD in the U.S., you had a big spike. You have a lot of countries that are still making high sulfur fuel that the hopes are that they will come into a low sulfur mandate at some point in time, whether it’s ULSD or whether it’s Euro standards. That will give you a nice bump. We don’t see that yet, but that happens in a quick time. Germany can make a decision, and within three months you’re forcing refineries to process a lower sulfur fuel. So I think for us it’s - we’re well-positioned in the markets where at some point in time they will go to a Euro or ULSD standard. So I think it’s just a wait-and-see. I think the markets - it’s a great business, a great cash flow business, we’re well-positioned and we’ll just remain where we are and take advantage of the opportunities when we see them.
Chris Shaw: Okay. And then second question to clarify something, the $0.22 impact you said, the part that was for the phasing of the tetraethyl lead orders. Was that including both the aviation piece and the Octane Additives segment piece?
Patrick Williams: No, completely separate. Octane Additives was just a - it was a paperwork issue within country. That’s been solved and shipped. The other, the aviation is just - it was just you’ll have a strong one quarter. It will die off in the next and then strong next quarter. There is no loss of business. There is no change of market. You’ll see that pick back-up in the fourth quarter.
Chris Shaw: All right, but the - you cited $0.22 that was impacted for the quarter that you guys would have had from both stock-based compensation and the order phasing. I was just trying to find out if the order phasing was reflecting the paperwork or the administrative issues with Algeria and the aviation phasing, or was it just one or the other that was in that?
Ian Cleminson: It was just the Octane Additives Algerian order.
Chris Shaw: Okay. That’s what I need to know. Thank you.
Ian Cleminson: No problem.
Operator: Thank you. [Operator Instructions]. We will now take the next question from Bill Dezellem from Tieton Capital Management. Please go ahead.
Bill Dezellem: Thank you. A couple of questions. Starting with Oilfield, did the results improve each month of the quarter? And I’m hoping you can answer that question normalizing for the one order that was pushed out.
Patrick Williams: They did, Bill.
Bill Dezellem: And so, as you think about the trends that you’re seeing in Oilfield, has that been going on now just a month-to-month improvement for - essentially since the rig count bottomed?
Patrick Williams: It has. It has, yes. You’re starting to see a month-to-month improvement and you obviously see that in the stats that are out there. And we follow somewhat the stats, but I’d be very cautious as we’ve said in the last quarters to use rig count as your benchmark on growth because rig count - a lot of what’s going on because of the stagnation of oil prices for the last two years, a lot of wells weren’t drilled. And so you have a lot of leases that are coming up for expiration unless they put a rig on there drill. So it doesn’t mean they’re going to drill complete put on line, but they may drill just to HBP that property. But the way we look at it is we really watch our stimulation in completion business. That’s what tells us where the market is headed and that’s where we see an uptick in our business.
Bill Dezellem: And so is that coming from the drilled uncompleted wells, and if so, what insights do you have relative to the DUCs [ph] and just the future prognosis there?
Patrick Williams: Yes, you will typically because our guys do a very good job of sitting down with our customers and knowing which rigs are going where and where we need to have our crews ready. I would say we’ve typically got a two month insight and I think that’s why we’re saying that we should have a fairly good fourth quarter due to the fact that, A, we had an order carryover, and B, the order patterns that we’re seeing in Q4 have been fairly strong.
Bill Dezellem: Quick shift if we may to Fuel Specialties. In Asia-Pacific, you had some really good growth there, and I believe you referenced some new contract wins. Is this - or are these contracts the same ones that you - well, we have talked about a couple of years ago that were going to offset some loss business due to price competition, and it was a gap where you had lost and then there was this period of time before the new contracts ramped up? Is this what we’re now seeing are those contracts or just something different?
Patrick Williams: No, that’s something different. It’s just pretty steady business for us. I think we’ve corrected the management team over there. We’ve got a very focused strategy. I think you’re starting to see markets open up which we haven’t seen in the past. And as I said earlier, we’re well-positioned in those markets. And so I think it’s just been a nice steady increase. And what I don’t want to see is a Q3 nice increase and the drop back to being a normalized quarter in Q4, so we’re really on the fellows out there to make sure that this is a positive trend quarter-to-quarter, not just a one-off. And so we feel pretty confident that it’s going to be a nice trend moving forward.
Bill Dezellem: Great. Thank you. And relative to Huntsman, you did reference the additional insights you had for further time evaluating the business. Do you anticipate the earnings benefit to be any different than what you had previously anticipated?
Patrick Williams: I would probably say just leave what we previously anticipated. Like I said, until we have this business under our belt for a year is when we’ll really start to see earnings growth. I think until we put our paws around it and our strategy inside of it, then you’ll start seeing the earnings power improve.
Bill Dezellem: Great. Thank you.
Patrick Williams: Thank you.
Operator: Thank you. We will now take the next question from Gregg Hillman from First Wilshire Securities Management. Please go ahead.
Gregg Hillman: Yes, good morning, gentlemen. Patrick, could you talk about basically the EBITDA impact overall for the company at $70 oil, and could you drill down to what the impact would be in Specialty Chemical? And is - and also on the Oilfield Services side. How high - does if the oil have to stay at a higher price, I don’t know, like at $80 a barrel a while for people who’d believe this is going to be sustainable at $60 now or the price to do capital projects?
Patrick Williams: Yes, when you - it’s been a massive shift in the market, Gregg. and I think that it’s probably one of the issues that OPEC overlooked is when U.S. markets specifically - we know how to ship market and if you look at AFEs [ph] back when crude was above $80 a barrel and you were running 50 stage fracs, we were seeing AFEs [ph] upwards of $14 million, $15 million in certain basins, which the same basin I’m discussing now is down around the $5 million mark. So as you had a fundamental shift of crude prices down, you’ve also had a fundamental shift of service providers, et cetera, moving with the same ship. So the U.S. can compete with anybody now. And I think if you look at it - if you look at crude sustainable at $50 to $55 a barrel, you’ll see nice growth out of us. But I think if you get to that $70 a barrel crude price, you see substantial growth from us. But I think for us, and I think for the general market in the U.S., we have transcend and changed and transformed as OPEC did not expect to be able to compete at the levels they did not expect. And is this a trend that’s going to keep itself? I think that you’ll see over time that prices will go up for Oilfield Services and fracking and et cetera, for production, for stimulation et cetera but it’s going to be gradual over time as crude oil prices move up. But I think for companies that have run their balance sheet, have watched their costs, have positioned themselves, that haven’t over-leveraged themselves, they should really benefit even with low crude prices.
Gregg Hillman: Okay. Thanks for your comments.
Patrick Williams: Thank you.
Operator: Thank you. As there are no further questions in the queue, I would now like to turn the call back to Patrick for any additional or closing remarks.